Operator: Ladies and gentlemen, thank you for standing by. And welcome to the StealthGas Third Quarter 2020 Nine Months Financial and Operating Results Conference Call. At this time, all participants are in a listen-only mode [Operator Instructions]. I must advise you that this conference is being recorded today. And I would now like to hand the conference over to your speaker today, Mr. Harry Vafias. Please go ahead.
Harry Vafias: Good morning, everyone, and welcome to our third quarter nine months 2020 earnings conference call. This is Harry Vafias, the CEO of StealthGas and with me on the call is Fenia Sakellaris, our Finance Officer. Before we commence our presentation, I would like to remind you that we'll be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, if you could take all a moment to read our disclaimer on Slide 2 of this presentation. Risks are further disclosed in StealthGas' filing with the Securities and Exchange Commission. I'd also like to point out that all amounts quoted unless otherwise clarified are implicitly stated in US dollars. Slide 3 summarizes the key highlights of our third quarter 2020 results that we released today. It's a fact that all throughout the third quarter market uncertainty brought upon by the COVID-19 pandemic persisted. In some areas, particularly in Europe, the market was soft most of the time with very few period charter opportunities and spot market providing employment opportunities but not at satisfactory rates. Setting aside the broader market sentiment, this quarter, StealthGas have to face two important costs obstacles. The first is the increased crew cost as a result of the restrictions and controls but then include changes and controls as precautionary measures against the COVID-19 pandemic. The second was a quite heavy drydocking schedule we face this quarter as we underweight drydocking for Aframax tanker and four of our small LPG ships. In spite of these obstacles, we are quite satisfied with our operational and financial performance. As it shows that our strategies allowed us to successfully navigate through unusually rough market conditions. Focusing on operations our fleet utilization for Q3 2020 was about 97% with about 115 days of technical off hire as a result of our heavy drydocking schedule. In terms of our operational utilization, this came in at 96% mainly due to 10 of our ships being in the spot market, which is equivalent to 21% of our voyage base. In spite of our increased spot presence dictated by current market environment, our commercial off hire was minimum as we managed to keep all our spot vessels employed with short waiting times. Going forward, we have about 69% of our fleet day secured and paid charters for the remainder of the year with total fleet employment days for all subsequent periods generating approximately $80 million in contracted revenues. Including the 10 charter agreements of our JV structures, total secured revenues increase to close to $100 million. During Q3 2020, we took delivery of 75,000 cubic meters newbuilding LPG vessel, the Eco Alice, while in early November, we sold one LPG vessel, the Gas Nemesis II, for further trading. Looking at our financial performance highlights, our voyage revenues came in at $37.1 million, marking an increase of $0.5 million compared to the same period of last year mainly due to improved revenue stemming from our LPG and Aframax time charters. Our daily time charter equivalent continues to rise. Compared to the same period of last year, our daily time charter equivalent increased by about $1,000, driven by increased revenue generated from our time charters, in conjunction with a 25% decline in voyage costs mostly due to lower bunker prices. With an adjusted EBITDA, excluding impairment charges of about 16 million, our adjusted net income came at $3.2 million corresponding to an adjusted EPS of $0.08, a solid performance amidst a very difficult market. Slide 4 provides an analysis of our fleet employment in terms of charter types out of the fleet of 42 operating vessels. Excluding our eight JV vessels, we have five of these on bare boat, 26 on time charters and 11 spot. Compared with the previous quarter, we organized a promptly delivery of four of our small LPG vessels employed on bare boat charters following Big Gas filing for insolvency. The delivery of these vessels went smoothly and one of them is already on a period charter.  With regards to the impact on our company as a result of this incident, our secured revenues going forward were reduced by quite a significant amount. In addition, we expect next quarter to show rise in our operating cost base. In spite of the difficult economic environment since our last announcement, we concluded five new charters and charter extensions. Our period coverage for the remainder of 2020 is in the order of 68% while currently our period coverage for 2021 is 33%. Our contracted revenues are close to $80 million and including our JVs, total secured revenues increased to close to $100 million. In Slide 5, I'd like to provide a summary of our two joint venture performances. With regards to our first joint venture comprise at least the majority of small LPG ships. We currently have two of the five ships under time charter contracts. The time charter contract for the medium gas carrying vehicle Nebula was recently extended for a period of another three months. Given the soft market conditions, the three vessels in the spot market marked a poor performance and considerably do not add significantly to profitability. Focusing on the second joint venture comprising of three medium sized ships, these are all under time charter contracts, thus, producing steady cash flow. One of our vessels at Gaschem Hamburg underwent a scheduled drydocking within Q3 2020, thus, affecting profitability for the quarter. The remaining two vessels will undergo their drydocking within the fourth quarter. On Slide 6, we provide you with a brief summary of our recent S&P activity. On September 30th, we took delivery of 7,500 cubic meter newbuilding pressurized Eco vessel, the Eco Alice. This vessel was acquired with full equity, which is the reason why we witnessed a decline in our free cash at the end of the third quarter. The related loan draw down took place at the beginning of October, thus, increasing our cash base once more. In addition and as we mentioned earlier on our call, we sold the LPG Gas Nemesis II for further trading. With these two transactions, the average age of our fleet is now 9.5 years. In a few months time, we will complete our acquisition for the delivery of an 11,000 cubic meter Eco newbuilding, the Eco Blizzard. Financing for this vessel is already in place so our equity contribution will be in the order of about $4 million and with about $55 million of free cash on the gas balance sheet to-date and another $10 million on top in our JV structures capital expenditure commitments are fully covered. In terms of our fleet geography in Slide 7, our company focuses on regional trade and local distribution of gas. These graphics are snapshot of the positioning of our LPG vessels, excluding the JV ships as of November 12, 2020. Currently, we have 18 of our LPG vessels trading in Europe, 13 in the Middle East, Far East and five vessels in Africa and only two in America. I now turn over to Mrs. Fenia Sakellaris for the financial performance.
Fenia Sakellaris: Thank you, Harry and good morning to everyone. I will continue the presentation focusing on our financial performance for the third quarter of 2020. As mentioned earlier in our call, even in these uncertain market conditions and even with the heavy drydocking schedule we had to undergo in the third quarter, we managed to preserve our revenues at quite high level to produce satisfactory profitability. For this, we relied on the solid revenues produced by our vessels under previous contract, the low oil price [indiscernible] cost at moderate levels and our declining finance costs due to the lowering of our debt at very low LIBOR rate. Let us move on to Slide 8 where we see the income statement for the third quarter of 2020 against the same period of the previous years. Voyage revenues came in at $37.1 million, marking $0.5 million increase compared to the same period of last year. This increase is attributed to rise of our time charter revenue stemming from our small LPGs our 22,000 semi vessels and our Aframax tanker. From the fourth quarter of '19 and up to the COVID-19 pandemic outbreak, we managed to lock time charter contracts at better rates than previously, thus, boosting our revenue stream and offsetting the lower revenue certainly in the spot market. Voyage costs amounted to $3.8 million, marking a 24% decrease compared to Q3 '19 in spite of our higher exposure in the spot market due to the decline of bunker cost by almost 20%. Based on all of the above, our net revenue for the period were $33.3 million corresponding to a net revenue margin of 90%. Running costs at $13.8 million marked about 12% decrease compared to Q3 '19, mostly attributed to two of our vessels, a small LPG and our Aframax tanker coming off bare boat, as well as increased crew costs faced due to the COVID-19 pandemic. Indeed, compared to the second quarter of 2020, our crew expenses related to crew changes in conjunction with port restrictions and safety travel requirements increased in the third quarter by approximately $500,000. Drydocking costs at $2.3 million correspond to the drydocking of our Aframax tanker and four small LPG vessels. We had communicated that within 2020, we had to undergo the completion of nine drydockings. The remaining four will take place at the fourth quarter of this year. General and administrative costs decreased compared to the same period of last year by about $500,000, mainly as our stock compensation plan active in the same period of last year ended in August 2019. Based on all of these, our adjusted EBITDA is in the order of $16 million. Interest and finance costs marked close to $2 million decrease mainly attributed to LIBOR decrease and the lowering of our debt. Based on all the points analyzed above, we ended the second quarter of the year with an adjusted net income of $3.2 million corresponding to an adjusted EPS of $0.08. We further on added to this year's profitability so for the whole nine months of 2020, our adjusted net income is $12.6 million correspond to an adjusted EPS of $0.41, a fairly good performance given the difficult market we're in. Slide 9 demonstrates our performance indicator for the period examined. As mentioned earlier on, our operational utilization of Q3 '20 was in the order of 96% a fair performance. In terms of our adjusted time charter equivalent, we noticed a rise on our quarterly basis by about $750 daily and now come mainly to improve time charter rates from small LPGs which prevailed in the beginning of 2020 prior to the COVID-19 pandemic, improved time charter rates for our 22,000 semi refrigerated vessels and the time charter contract for a single Aframax tanker currently producing a strong revenue. Looking at our balance sheet and Slide 10. Our free cash is in the order of $28 million. As mentioned, the decline in our free cash base is due to the old equity payment of our newbuilding LPG vessel deliveries at the end of third quarter. Related lock draw down took place in the beginning of October 2020, thus, increasing our cash base once more. Our gearing has declined and is now in the order of 36.5%. Based on our scheduled principal repayments, we will reduce our leverage by around $40 million per year going forward. We have no balloon refinancing due in the remainder of 2020 with balloon obligations of around $30 million in 2021, for which we will have fully concluded refinancing before the end of this year. Consequently, we anticipate the current portion of long term debt to be reduced in our upcoming results by around the same amount. I will now hand you over to our CEO, Mr. Harry Vafias who will discuss market and company outlook.
Harry Vafias: Let's proceed with Slide 11. As the market uncertainty brought upon by the COVID-19 pandemic prevails it’s very difficult to assess our market’s future. We can, however provide a summary commented how to LPG trade is now across key regions. Commencing with Europe, the market show a slight periodical improvement compared to the second quarter but overall it remained weak. Terminals continue to go offline for maintenance, as I mentioned, to offset the broader decline in markets. In Asia, we noticed a decline of residential demand for LPG but going forward, this could potentially be reversed by the requirements of new PDH plants at commenced operations around the middle of this year and two additional PDH plants scheduled to commence operations by the end of this year. In the US, LPG production has shown some improvements in the third quarter compared to the past quarter of this year. However, shale production still remains low compared to before the COVID pandemic outbreak. Lastly, in the Middle East, we witnessed a rise of LPG exports as a result of OPEC lifting crude oil production quarters and this may continue going forward to the potential further easing of production quarters. Moving on Slide 12, we see that during Q3 '20 and due to COVID, rates for small LPGs continue to decline. Employment for larger coasters, i.e. 7,500 cubic meters remained relatively steady and therefore, rates for this segment did not suffer as much. Looking at the small LPG trade West of Suez from July onwards, we saw modest and gradual improvement in the market as the European economies came out of their lockdowns and cargo started moving again. The recovery in the market was not sufficient to significantly improve the day rates but at least owners were able to reduce idle time. Now that the new lockdowns are looming across Europe, we do expect a difficult couple of months ahead. Although, we believe it will be less severe than in the first half of the year. On the period side so far charters are careful and cautious about potentially difficult winter period if extended lockdowns do materialize. Going to late winter spring, we could expect to see more interest from charterers to lock in time charter tonnage in anticipation of improved market conditions. The Eastern market go through the nine months of 2020 in a better state than the Western market. Although, there were significant effects felt from the pandemic also in the East, China's relatively early recovery led to a less incremental effect on idle time in freights in the East than in the West. The pet chem market has been the most unstable for the pressurized fleet East of Suez as large volumes of pet chems have been moved from the Atlantic where there was a great surplus of cargo in the first half of the year and competing with local supply in Asia. LPG on the other hand has felt better and showed steady movements within the [C][ph] Asian region. As with the spot market, also, the Asian time charter market has been holding up better than the time charter market in the West as we did not see the large fall in rates during Q2 as we saw in Europe. Going forward, there's still some resistance and uncertainty from charterers for taking too much period coverage. However, we don't expect an improvement in this market in the coming months and year. We are hopeful that heading further towards the winter months, our market will begin to recover especially now with the positive news on the vaccines against COVID soon becoming publicly available. Regardless of the current situation, which is driven by global economic conditions, our segment specific fundamentals that of an aging fleet and low order book remain positive and will likely accelerate our market recovery rate once the broader economic environment permits. The small LPG pressurized segment has substantially old tonnage about 26% of the fleet is above 20 years of age. Hence, we do anticipate an acceleration of demolition in the future. Since the beginning of 2020, we have recorded the demolition of only one ship. Mostly our scrapping has come to a halt in the past few months mainly due to the COVID lockdowns and subsequent closing of demolition yards. [Aspiration] [ph] published orders of 16 vessels that is about 5% of the total fleet to be delivered until the end of 2022, a relatively small order book. On Slide 13, we discuss our company's outlook convention with our share performance since the beginning of the year. The performance of our stock is presenting along with selected gas carriers peer group and the price of oil. The global COVID-19 outbreak and imposed lockdown resulted in a fall in demand for petroleum products. However, the ease of first lockdowns and may increase the demand for oil and subsequently oil prices began to rise. These events affected energy related stocks, which exerted a broad correlation with oil price volatility. Following the conclusion of the US elections and the positive announcement on the vaccines earlier this month, oil price and share prices have began to increase. On Slide 14, we are outlining the key variables that will affect our performance in the quarters ahead. Given the market turmoil, it's quite difficult to make firm predictions. We have visualized a few key points [indiscernible] financial performance in the upcoming periods. First point is that we have period coverage of $100 million precontracted revenues until the end of 2022. Secondly, we have all of our 22K semi refs and MGC vessels on time charters at improved rates, while the majority of our tankers are also on period charters producing a solid cash flow. The third point is that we are under a very low LIBOR rate environment hence our finance costs will decrease even further. Last but not [indiscernible] further to the positive news on the vaccines. We anticipate our market to leverage on a strong fundamentals and recover at a fast pace. However, the downside is that we have 10 vessels concluding the period employment up until the end of the year. Moreover, we have four drydockings to complete within the first quarter of this year, thus, building in our cost base. Concluding our presentation on Slide 15, we present a brief summary of our company's and market strong points leveraging upon our leading presence and expertise in the small LPG segment and the fact that should COVID-19 pandemic subsides, we will most likely be able to enjoy a much more profitable quarters ahead. At this stage, our chairman will summarize our concluding remarks for the period just examined.
Michael Jolliffe: Thank you, Harry. In the third quarter of 2020, StealthGas marked a quite satisfactory performance given that we operated a rather difficult market. With the COVID-19 pandemic still persisting, our market is being heavily affected. Due to imposed lockdowns, we witnessed a decline in demand for LPG and charterers sentiment has been affected, thus, making them reluctant to take forward positions on period contracts. Adding to this, regulations pertaining to crew safety and crew changes have added to our costs and will continue to do so up until the COVID-19 pandemic subsides. Nevertheless, our company not only achieved strong revenues managed within the quarter with profitable results. We feel confident that we have successfully navigated our market even during testing times. In addition, we further acknowledge and had our market not been hit by the COVID-19 pandemic, it seems we would have had a far better run this year. We have now reached the end of our presentation, and we would like to open the floor for your questions. So operator, please open the floor. Thank you.
Harry Vafias: We'd like to thank you for joining us at our conference call today and for your interest in trusting your company, and we wish you a very Happy Thanksgiving and look forward to having you with us again at our next conference call for our fourth quarter results in February 21. Thank you very much.